Operator: Good day, everyone and welcome to the BGC Partners Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. Please be advised, that today's conference is being recorded. At this time, I would now like to turn the conference call over to the Head of your Investor Relations, Jason Chryssicas. Thank you and please go ahead.
Jason Chryssicas: Thank you and good morning. We issued BGC's third quarter 2021 financial results press release and presentation earlier this morning. You can find these at ir.bgcpartners.com. Please note you can find additional details on our quarterly results in today's press release and investor presentation. Unless otherwise stated, the results provided on today's call compare only the third quarter of 2021 with the year earlier period. We will be referring to our results on this call on an adjusted earnings basis unless otherwise stated. We may also refer to adjusted EBITDA. We may refer to our liquidity, which we define as cash and cash equivalents plus marketable securities that have not been financed, reverse repurchase agreements and securities owned, less securities loaned and repurchase agreements. We define total capital as redeemable partnership interest, total stockholders' equity and noncontrolling interest in subsidiaries. Please see today's press release for results under generally accepted accounting principles. Please also see the relevant sections in the back of today's press release for the complete and updated definitions of any non-GAAP terms, reconciliations of these items to corresponding GAAP results and how, when and why management uses such terms. Additional information with respect to our GAAP and non-GAAP results on today's call is also available on our website at ir.bgcpartners.com. I also remind you that the information regarding our business on today's call that are not historical are forward-looking statements and these include statements about the effects of COVID-19 pandemic on the company's business results, financial position, liquidity and outlook. Any forward-looking statements involve risks and uncertainties. And except as required by law, BGC undertakes no obligation to update any forward-looking statements. Any outlook and targets discussed on today's call assume no material acquisitions, buybacks, extraordinary transactions or meaningful changes to the company's stock price. For a discussion of additional risks and uncertainties, which could cause actual results to differ from those contained in forward-looking statements, see BGC's SEC filings, including but not limited to, the risk factors and special note on forward-looking information set forth in these filings and any updates to such risk factors until note on forward-looking information contained in the subsequent reports on Forms 10-K, Forms 10-Q and 8-K. With that, I am now happy to turn the call over to Howard Lutnick, Chairman of the Board and CEO of BGC Partners.
Howard Lutnick: Thanks, Jason. Good morning and thank you all for joining us for our third quarter 2021 conference call. Joining me for today's call are BGC's Chief Financial Officer, Steve Bisgay; and our Chief Operating Officer, Sean Windeatt. Earlier today, we announced the launch of FMX, our combined U.S. treasury and futures electronic marketplace, along with a clearing agreement with the LCH. Leveraging the success of our proven state-of-the-art Fenics UST platform, our FMS future solution will challenge the status quo of the current U.S. futures market. Our executed clearing agreement with LCH provides unique cross margin and clearance solution for U.S. futures and interest rate swaps. FMX was created in response to its customers' need for an integrated trading and clearing solution that leverages the world's largest IRS clearing pool at LCH to provide significant cross margin efficiencies. We believe FMX will offer a more optimal clearing solution for futures than the CME. With respect to value creation, we expect key strategic partners to invest in FMX and our expectation is that FMX will open for futures trading in the middle of 2022. On Monday, we announced the closing of the sale of our insurance brokerage business, which delivered gross proceeds of $535 million, providing significant resources to continue repurchasing our shares and to accelerate Fenics growth. Since announcing the transaction in May, we repurchased and redeemed over 45 million shares in units. Our Fenics businesses continue to grow at a strong double-digit pace and provided record revenue contribution at approximately 23% of BGC's total financial services revenues versus 19.5% a year ago. This record Fenics contribution and significantly improved front-office productivity drove adjusted earnings higher during the quarter. I'm happy now to turn the call over to Steve Bisgay.
Steven Bisgay: Thank you, Howard and hello, everyone. As reported in today's earnings release, BGC generated total revenue of $473.7 million, an improvement of 4.1% from a year ago. Industry-wide trading conditions were mixed during the third quarter with solid activity across rates and energy and commodities with credit volumes were challenged on tighter credit spreads and muted volatility. By geography, we saw Europe, Middle East and Africa revenue increase by 4.2%. The Americas increased by 7%, while Asia Pacific revenues decreased by 1.1%. By asset class, rates, energy and commodities, equity derivatives and cash equities and insurance increased by 7.7%, 12.8%, 15.4% and 19%, respectively. Credit and FX decreased by 13.3% and 0.4%, respectively. Beginning last year, we selectively reduced less productive front office headcount. As a result, front office personnel was 8.6% lower this quarter versus a year ago. These reductions were made alongside increased migration towards Fenics technology solutions, which helped drive average productivity 14.2% higher and pretax adjusted earnings up 15.7% compared to a year ago. As we continue to automate more of our overall business, both profitability and productivity are increasing. Moving on to Fenics. This quarter, Fenics generated net revenue of $95.3 million, an improvement of 18.7%. Fenics growth platforms generated revenue of $10.6 million, an improvement of 23.6%. Fenics markets recorded revenue of $84.7 million, an increase of 18.1% and had a pretax adjusted earnings margin of 29.5% in the third quarter. Insurance brokerage generated revenue of $51.5 million, growing by 19%. Now moving on to expenses. Our compensation and employee benefits expense under GAAP and adjusted earnings increased in the third quarter of 2021 due to higher revenues compared to a year ago. Equity-based compensation and allocations of net income to limited partnership units and FPUs increased 137.8% primarily due to our volume weighted average share price more than doubling compared to the year ago period. Our noncompensation expenses under adjusted earnings decreased 0.9%, primarily due to lower interest expense, fees to related parties and other expenses. These expense reductions were partially offset by higher selling and promotion charges as COVID-19 restrictions have relaxed across many of the new geographies in which we operate. Moving on to adjusted earnings. Our pretax income was $79.1 million, an increase of 15.7% and represents a 167 basis point margin expansion from last year. We recorded post-tax adjusted earnings of $74.5 million, an increase of 21.7% and a 228 basis point margin expansion. We generated adjusted EBITDA of $93.6 million, an improvement of 3.3%. Turning to share count. Our fully diluted weighted average share count decreased by 5.9% sequentially to 530.4 million under adjusted earnings in the third quarter of 2021 due to our share repurchases. As of September 30, 2021, our spot share count was 517.2 million a decrease of 4.1% sequentially, which reflected 24.4 million Class A common share repurchases during the quarter. Since the sale announcement of our insurance brokerage business on May 26, we have repurchased and redeemed 45.2 million shares and units. Due to the sale, which closed subsequent to the end of the third quarter, the assets and liabilities associated with this business are presented as held for sale on the balance sheet for the period ending September 30, 2021. As such, balance sheet line items, including cash and cash equivalents, are not fully comparable to prior periods. For example, there was $37 million of insurance-related cash and cash equivalents included in liquidity at December 31, 2020, whereas all insurance-related cash and cash equivalents are excluded from liquidity as of September 30, 2021 and instead presented within the line item assets held for sale. With that said, as of September 30, 2021, our liquidity was $485.6 million compared with $655.2 million as of year-end 2020. Cash and cash equivalents were $450.8 million versus $596.3 million as of December 31, 2020. Notes payable and other borrowings were $1.3525 billion, compared to $1.3159 billion. Total capital was $703.8 million compared with $832 million. Obviously, next quarter, our liquidity will be higher and our debt will be lower as we've already fully repaid our revolver using a portion of the $535 million of gross proceeds received on November 1, 2021. The company continues to explore a possible conversion into a simpler corporate structure. BGC's Board and committees have hired advisers and are reviewing the potential structure and details of such conversion. And with that, I'm happy to turn the call over to Sean.
Sean Windeatt: Thanks, Steve and good day, everyone. Our Fenics businesses generated strong net revenue growth of 18.7% and represented 22.6% of our total Financial Services revenue, up from 19.5% a year ago. Looking at Fenics in more detail. Our Fenics growth platforms revenue improved 23.6% from a year ago, driven by growth across Fenics U.S. Treasuries, Fenics FX, Fenics GO and Lucera. Fenics U.S. treasury revenues increased over sevenfold driven by market-leading ADV growth, optimization of commercial agreements, new product offerings and onboarding of new clients. During the third quarter, Fenics UST had ADV growth of over 64% outpacing the overall market. Fenics UST CLOB market share increased from 12% a year ago to over 19% in the third quarter. Additionally, Fenics U.S. treasury launched U.S. repo on the platform in August, which continues to scale. We have continued to see strong volume growth into the fourth quarter where October volumes have increased by 78% year-over-year versus 33% of the CME. Fenics FX, our ultra low-latency electronic FX trading platform, generated strong double-digit revenue growth against a challenging trading environment with tempered FX volatility. Fenics FX growth was driven by new clients and improved fee capture. Its new NDF offering, which launched in the first quarter of 2021, continued to gain traction with third quarter volumes improving over 175% versus the first quarter of 2021 and over 45% sequentially. Lucera, our infrastructure and software business made significant progress onboarding new institutional and bank clients during the quarter. Winning new clients and expanding existing relationships adds to Lucera's highly recurring and compounding subscription revenue base. Additionally, Lucera has started offering clients access to [indiscernible].
Howard Lutnick: I think we've lost Mr. Windeatt's sound. So - but he was saying...
Operator: This is the conference operator. I've opened up the back line - backup line in case that needs to be opened as well.
Howard Lutnick: You can't get to Mr. Windeatt, right? Everybody can't hear Mr. Windeatt, right? All right. Well, I'll just continue on his - so Steve Bisgay, why don't you continue on his lines. Okay? He was just - just go back over Lucera, our infrastructure and software business, Steve.
Steven Bisgay: Lucera, our infrastructure and software business made significant progress onboarding new institutional and bank clients during the quarter. Winning new clients and expanding existing relationship adds to Lucera's highly recurring and compounding subscription revenue base. Additionally, Lucera started offering clients access to trade cryptocurrencies, leveraging its leading connectivity to exchanges, trading platforms and custodians. Lucera's cryptocurrency solution is focused on providing clients with world-class infrastructure that offers fully compliant workflows. Fenics Go, our global options electronic trading platform, more than doubled its revenue from a year ago, driven by the integration of Fenics existing electronic equities platform MatchBox into its offering. MatchBox is an online platform that automates the trading, booking and lifestyle management of global equity derivatives contracts. The integration of these 2 electronic platforms provide Fenics Go clients with a comprehensive electronic equity-driven trading solution. Fenics credit offering, portfolio match, our recently deployed session-based matching platform continue to gain traction during the quarter with U.S. investment-grade credit volumes nearly doubling sequentially from the second quarter of 2021. Portfolio match currently supports U.S. and European investment-grade credit and European high-yield credit. U.S. high-yield credit sessions are expected to launch during the fourth quarter. Looking at our Fenics markets. Revenues improved by 18.1%, driven by strong growth across rates, FX and market data. Fenics MIDFX grew its revenue by approximately 44% versus last year, driven by higher activity across its spot FX and its newer Asian NDF offering, which has continued to gain traction throughout the year. Fenics market data signed 43 new contracts during the third quarter, with total contracted value increasing by over 200% compared to last year. Fenics market data has highly recurring and compounding subscription revenue. Capitalab's NDF match business, our advanced web-based matching platform that helps clients reduce foreign exchange exposure, grew its volumes by 30%, driving double-digit revenue growth compared to a year ago. Since its launch in 2017, NDF match has grown its market share to become a leading solution for post-trade risk reduction. Our voice/hybrid business generated revenues of $326.8 million, down 1.4% from last year due to the continued conversion of voice/hybrid to Fenics revenue. Our rates business grew 7.7% with particular strength across U.S. government bonds, inflation products, listed rates and emerging market rates. Equity derivatives and cash equities had strong growth of 15.4%, driven by U.S. and European equity derivatives. Our environmental business also saw revenue growth of 87% as we supported the reduction of global carbon emissions and promote clean and renewable energy through the facilitation of marketplaces for environmental credits and renewables. This, along with heightened volatility across the energy complex, helped drive growth of 12.8% in our energy and commodities business compared to a year ago. During the quarter, our insurance brokerage business generated revenue of $51.5 million, growing 19%. As Howard previously mentioned, we closed the sale of this business on November 1, resulting in an internal rate of return of 21.2% for our shareholders.
Sean Windeatt: Thanks, Steve. And now turning back to outlook. Outlook for the fourth quarter of 2021 is as follows. BGC's revenues, excluding insurance brokerage, were approximately 9% higher for the first 21 trading days of the fourth quarter when compared to the same period last year. We, therefore, expect to generate total revenue of between $445 million and $495 million as compared to $479.4 million. As a reminder, the fourth quarter of 2020 included $49.1 million of insurance brokerage revenues. We anticipate pretax adjusted earnings to be in the range of $80 million to $100 million versus $79.3 million and we anticipate our full year 2021 adjusted tax rate to be in the range of 9% to 11% versus 10.8% for full year 2020. And with that, I'd like to turn it back over to Howard.
Howard Lutnick: Thank you, Sean and thank you, Steve. We previously said we would grow Fenics UST market share, build and establish our model for FMX futures, complete the sale of insurance and buy back a significant number of our shares. As you heard on today's call, we are executing on all fronts. Turning to a more personal note. As you may know, I was recently diagnosed with non-Hodgkin's lymphoma, which my doctors tell me is highly treatable and curable. I sent out 2 videos to our employees over the past couple of weeks and you can view those on our website under the In the News section or on YouTube, if you type in mining. And these videos explain things in just much more detail if you'd like to know. I'm still working and running the company every day. I'm supported by my incredible, capable and deep management team. And with the exception of every third Monday, which means my second treatment is November 8. When I receive treatment, I expect to - my work schedule to remain the same, which, for example, ended last night, when I hung up the phone at 11:00 at night and I picked up the phone and started talking this morning at 7:00 am. So it seems that I spent a lot of time because, frankly, I love it. With that, operator, I would like to open the call for questions.
Operator: [Operator Instructions] Our first question today comes from Rich Repetto from Piper Sandler. Please go ahead with your question.
Richard Repetto: Yes, good morning, Howard and Steve and John. And first, Howard best wishes on the treatments and your health. We've been doing this quite a while now and hope to...
Howard Lutnick: Thank you, Rich.
Richard Repetto: Continue for a long time, too. With that, so the FMX, you mentioned in the - I think, in the prepared remarks that you thought there'd be more cross margin efficiencies than the CME, the established incumbent. And I guess, could you explain that why would futures and the LCH clearing of interest rate swaps create more efficiency than say the treasuries - cash treasuries and futures at the CME? And they've said in a test that they've gotten close to, I think, 70% or 75% cross-margin efficiencies.
Howard Lutnick: So that - I mean, that says it as well as you can. When you can get to 70% or 75% cross-margin efficiencies, that's the best you can do in 2 different pots. If the FICC holds collateral and CME holds collateral, the only way cash and futures can come together is maybe they can get to 70%. Historically, they've only gotten below 50%. Whereas if you do it together with the LCH and the LCH will be the clearer for both, you would expect to get in the high 90s margin efficiency. So it's basically more efficient to hold the collateral together. And therefore, we expect that when we start doing futures, it is either as good a cross-margin efficiency or better. And over time, we expect that to mean that our clients can trade freely on the CME platform or on the FMX platform without regard to worrying about how the collateral and cross margining will play out. It will play out at least as well on FMX from the first day, all the way to the last. And I think that's really, really exciting and a first for U.S. rates.
Richard Repetto: Okay. And 1 quick follow-up to that, Howard, like that's the efficiencies and the percentage. And I get what you're saying there. But how about where is the overall more efficiencies between futures and swaps versus cash and futures?
Howard Lutnick: So short-term interest rates, euro dollars and however those changes, those are a derivative for swaps. So that is 1:1 on swaps. That is a derivative of swaps. And then when you get to long dated, Rich, what you would call U.S. treasury futures, we would normally consider them long dated, right, because the first maturity is 2 years or 5 years whereas euro dollars or short-term interest rates are really a series of 3 month contracts that we put together to mimic a swap contract. Those also naturally lean against as a treasury futures of the FCC or long-dated interest rate swaps. So those 2 just work really well together. And if you do the math, they are really good and natural complements. So you will see efficiency across euro dollars can't - and euro dollars with short-term interest rates, however they change, can't be better than doing it with the LCH's clearing pool of IRS. And with respect to treasuries, it will be really, really good. And I think they will be as good, if not better. And what that means is that people who walk in, in the morning and they want to trade, they're a big bank, they have collateral everywhere and they want to trade, they could be indifferent to whether they trade at the CME or they trade at FMX. And that in different moment will be the first time ever you have a gigantic electronic trading system like Fenics UST, holding futures on it, totally connected to everybody, that can do business toe-to-toe with the collateral and the clearing and margin efficiency as the CME. It's one of the great things that the CME has had and this will be the first time a competitor will stand with all of the pieces to the puzzle standing next to it. I think it is really, really exciting for us. It is really exciting for our clients. They just would like some competition in the space. And I think we are going to be the great contender. We are going to be the great contender. I would tell you that - we said that we had 19% market share in the CLOB last quarter. I will tell you, within the last week, we touched 25% market share on the day this last week. So our treasury system is extraordinary and I think FMX is coming, it's coming.
Richard Repetto: Got it. Okay, thank you, Howard. I'll get back in the queue.
Operator: [Operator Instructions] Our next question comes from Patrick O'Shaughnessy from Raymond James. Please go ahead with your questions.
Patrick O'Shaughnessy: Hey, good morning and Howard, I'd like to add my best wishes for a speedy and total victory to your fight and also add that I think the shade looks good on you.
Howard Lutnick: Thank you.
Patrick O'Shaughnessy: Question on Fenics. So as we look at the Fenics growth platforms revenue, it's been $10.6 million each of the last 3 quarters. Can you remind me how much of that revenue is subscription-based versus volume-based? And I'm asking just because I'm surprised by how steady it's been of late.
Sean Windeatt: Yes. I would say it's different on any given quarter. But it's - at the moment is probably a little bit more volume-based and I think as Howard described before, that will become far more subscription-based. But at the moment, it's more volume-based.
Patrick O'Shaughnessy: Got it. Thank you. And then sticking with Fenics, the data software and post-trade revenue, the external revenue, I believe I'm getting a 3% year-over-year growth rate in the third quarter and that's down from a 7% growth rate in the second and the 13% growth rate in the first. Can you talk about maybe why we're seeing that slowdown in that revenue line?
Howard Lutnick: Yes. There were really 2 pieces. Our compression business was a little slower in the third quarter, the post trade and that will bounce back in the fourth quarter and our market data business continues to grow at a rapid pace. So the market data business, I think, has the most growth in it. It still is a - got a long, long runway even to catch up to other - to our peer group. So I think it has lots of growth avenues. And now it's just a wrinkle for the quarter but I think you'll see next quarter, the post-trade will bounce back up and those numbers, we'll go back to the growth rates that we both expect.
Patrick O'Shaughnessy: Got it. Thank you. In past quarters, in your slide presentation, the Fenics overview slide, there was a breakdown of the allocation of the Fenics revenue by asset class, rates, credit ForEx, et cetera. I don't see that this quarter on your Slide 6. Are you able to provide that?
Howard Lutnick: Sure. Yes. If it wasn't out, we'll go put it out.
Patrick O'Shaughnessy: Okay. It's just helpful to be able to track that. So I appreciate that. Your brokerage headcount keeps declining roughly 50 folks or so per quarter. You spoke on the prepared remarks about taking some actions to eliminate less productive positions. Are you still kind of taking ongoing actions? Or at this point, is it kind of attrition that you're just not replacing?
Sean Windeatt: I think the way I think about it is as we said in the prepared remarks, it's key to our profitability. But what you also see is that the move from - as I mentioned, from the brokerage side into Fenics markets and the adaptation of and the usage, the uptake in usage of the electronic trading platform that we have is why our overall revenue per head is higher. You should expect this as part of our normal business to continue to manage our business on a daily basis for our less productive brokers. But equally, there remain opportunities in hiring as well. And what you will see as well is you'll see that in this quarter, we also did take a $5.1 million restructuring charge linked to exactly what we're talking about.
Patrick O'Shaughnessy: Got it, thank you very much.
Howard Lutnick: But it's a natural process of more and more Fenics is going to make us more efficient. So as you've heard us say over time, our best brokers become more and more efficient and more important. And we - just those who fall away were just not that important for the business. Every once in a while they become less productive as the business automates. But the best brokers with the best relationships are important to us. They remain with us and they'll be more efficient, do more business and they'll make more money. So I think we really like the model. And you're just seeing it work its way through and that's going to continue over time.
Patrick O'Shaughnessy: And to follow up on that, as you're reducing your brokerage headcount by roughly 10% or so on an annualized basis, how does that impact the morale of the folks who are still there? Like are they looking over the shoulder saying, "Hey, am I going to get tapped on this next quarter? Is it my turn?" Or do they kind of know - like how do you manage that?
Howard Lutnick: It's a math thing. So there's no secrets to math, okay? The best brokers - the top brokers know they are best brokers, they are the top brokers, they are the most productive. Those who support them - let's say, there was a great broker and there were 3 supports staff. And then there were 2 support staff. Eventually, there's just going to be 1 support staff because they know that and everybody knows it. There's not - no one's looking over their shoulder and saying, "I only did $350,000 of production this year and wondering looking over the shoulder." They know it's the math about how they're doing. So we are focused on keeping our best brokers. They're making more money and they are embracing automation. And that's a process that we've been talking about, right, with you guys and with them for a long time. So everybody knows that they're becoming less productive. They might move to a different product, they might move to a different area, right? But they know the math. And it's not - there's no fear in the company. Everybody understands it's the math of the world and winning.
Patrick O'Shaughnessy: All right. That's helpful. Thank you. What's your expected tax rate on the proceeds from your sales of Corant?
Steven Bisgay: We expect it to be pretty low actually, overall. So without giving a specific number, we do believe that we have a number of appropriate deductions and offsets to minimize taxation on the sale itself. So we are expecting to be rather low.
Howard Lutnick: It's consistent, right? It's probably above the amount for the company overall but still comparatively low. The structure, which - the complex structure that we have. We suffer with its complexity but when it comes to these kind of things, it's tremendously beneficial. So you see the amount of money we can drive to the bottom line to buy back - and to use to buy back our shares is enhanced because of the structure that we have.
Patrick O'Shaughnessy: Got it. And then last 1 for me. What is the, I guess, 1 month, the October revenue contribution from Corant that's embedded within your fourth quarter revenue outlook?
Steven Bisgay: It's circa $20 million, circa $20 million. If you think about it, it's not the exact science midpoint but circa $20 million.
Patrick O'Shaughnessy: All right, perfect. Thank you for taking my questions.
Operator: Our next question comes from Steven Eisman from Neuberger Berman. Please go ahead with your questions.
Steven Eisman: Hi, thank you for taking my question. I just want to understand what the - what you're thinking when this launches in 6 months or so? Is the idea eventually to spin this off, to keep it internal? Or is it just too early to say?
Howard Lutnick: Well, I think we plan to partner with our key strategic players and we said that. And once we do that, I think our objective is to build our U.S. rates futures business into a significant company. And my guess would be eventually it will be spun off.
Steven Eisman: But no time frame on that, obviously, too early.
Howard Lutnick: Well, if that's a rocket ship, I'd be delighted for that to be quicker but things got to make it rocket ship first. And the beginning is to open in the middle of 2022 and then build significant market share. This is the challenger to the CME, okay? This is - we have all the pieces in place. No one's ever had all of the pieces in place before. And so I think this is just exciting for us. We're going to go build it. We're going to go build it with - in partnership with many of the great strategic players. And I think we're going to build a great competitor to the CME and will produce tremendous value for our company and we'll go from there and try to execute. But is that a likely scenario? Eventually sure. But no, I can't get you a time frame.
Steven Eisman: Okay, thank you.
Operator: And our next question is a follow-up from Rich Repetto from Piper Sandler.
Richard Repetto: Hey, Howard, so on FMX, could you - and I think you've hit it at this but I'll still ask the question. Who are the potential partners and who and why would they join?
Howard Lutnick: So we've got incoming from, obviously, lots of people. Exchanges would like to be partners in this. The world's exchanges who are not the CNE, banks, large trading firms, clients. We use trading clients, people who use features, that is the list from whom we're going to talk to and choose from.
Richard Repetto: Understood. Okay. And then can you talk about the expected expenses that you'll incur as you put this together?
Howard Lutnick: Actually, they're already in our numbers. So we started building this. We weren't waiting for now to do it. In fact, part of why the LCH wanted to do business with us because we had already - we were already hard at it building it and integrating it. So you couldn't start from scratch today and get this done 9 months from launch. That's just not practical. You have to have built it for quite some time and that's in our numbers. So I don't think you will see our numbers materially change. We are hard at it. We've already employed lots of people. We're going to continue to employ lots more but we're hard at it and they're part of our numbers.
Richard Repetto: Got it. And last 1 for me. Howard, on interest rate since - or Steve, on interest rate sensitivity, we see the 4Q guidance and I suspect that a lot because of the volatility of the - rates volatility at the beginning in October. But could you just, in general, talk about interest rate sensitivity? And I guess you used the CME rates as a proxy. But how do you look at BGCP's interest rate sensitivity?
Steven Bisgay: Well, as it relates to our own balance sheet, Rich, we have very little exposure as it relates to volatility of our interest rates. The one point of sensitivity might have been in our revolver, which is fully paid down now at this point but that was indexed to LIBOR. But as I said, it's fully pay down other than that, our outstanding obligations are all set.
Howard Lutnick: But BGC loves interest rate volatility as a business. Our rates franchise cannot enjoy volatility of rates more. So we are rooting for volatility in rates. We have a giant rate franchise and we love volatility of rates. So economically, very little to no cost and great opportunity if it moves around a bit. So the 1 thing we didn't chat about was Sean mentioned cryptocurrency. If you think about Lucera for a minute, Lucera connects all the banks, exchanges, trading firms, so they can trade with each other over our rails. And now close your eyes and think of crypto. How many exchanges are there? Where are they? They are everywhere in the world. How many venues are there? There's so many them everywhere in the world. How many traders are there? There's so many and they're everywhere in the world. They are just more decentralized and the opportunity for Lucera to connect them to each other in an efficient, real-time, low-latency, tradable fashion is great and we are seeing lots of demand and lots of incomings from people who want to work with us to connect and to be able to trade with each other using our rails. So I think that is an area of Lucera's business that people haven't thought of. I think it will grow quickly. It is a serious business for a broad range of clients around the world. I think it's just a lot of fun for us. And it's a vast and endless sea of more people to connect. And so we pointed that out. But I think over time, I think that's going to become a material and significant business for Lucera and much quicker than people think.
Operator: And ladies and gentlemen, with that, we'll end today's question-and-answer session. I'd like to turn the floor back over to Mr. Lutnick for any closing remarks.
Howard Lutnick: Thank you all for joining me today. As I said, if you want to learn more about my particular details of non-Hodgkin's lymphoma, please just go to our website, or you can see it on YouTube. But I appreciate all of your support and the notes that I've received. It's been really, really uplifting in kind. And I look forward to speaking to you next quarter and giving you an update. So thanks, everyone. Have a great day.
Operator: And ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for attending today's presentation. You may now disconnect your lines.